Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the Synaptics' second quarter 2007 conference call. During today's presentation, all parties will be in a listen-only mode. [Operator Instructions]. The conference is being recorded, Thursday, January 25th 2007. I would like to turn the conference over to Alex Wellins of The Blue Shirt Group. Please go ahead, sir.
Alex Wellins: Good afternoon and thanks for joining us today on Synaptics' second quarter conference call. This call is also being broadcast live over the web and can be accessed from the "Investor Relations" section of the Company's website, at "synaptics.com." With me on today's call are Francis Lee, President and CEO of Synaptics, and Russ Knittel, the Company's Chief Financial Officer. We'd like to remind you that during the course of this conference call, Synaptics will make forward-looking statements, including predictions and estimates that involve a number of risks and uncertainties. Actual results may differ materially from any future performance suggested in the Company's forward-looking statements. We refer you to the Company's SEC filings, including Form 10-K for the fiscal year ended June 30, 2006, for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statements. We expressly disclaim any obligations to update this forward-looking information. And now, I'd like to turn the call over to Francis Lee. Francis?Francis Lee: Thanks, Alex. And thanks, everyone, for joining us on the call today. We are very pleased to report record revenue and very strong operating performance in the second quarter. Revenue of $76.1 million grew 39% over the preceding quarter. Excluding the impact of non-cash share-based compensation and a onetime restructuring charge, non-GAAP operating margin was 20%, and non-GAAP net income was $13 million, or $0.44 per share. Our second quarter results reflect increased demand across all of our target markets and the extra week of business during the 14-week quarter. Specifically, revenue from PC applications grew approximately 22% sequentially, reflecting strong core notebook demand and continued adoption of our LightTouch and multimedia controls in notebooks and PC peripherals. Revenue from PC applications accounted for 79% of total revenue. Revenue from non-PC applications nearly tripled over the preceding quarter and represented 21% of total revenue, primarily reflecting a significant increase in demand from the portable music player market. Now, I'd like to make a few comments about the progress we have made over the past three months. I'm pleased with the continuing interest in our LightTouch button and other alternative TouchPad solutions, which our customers are utilizing the developed end product that features sleek and innovative industrial designs. OEMs continue to adopt our multimedia controls and they opt to drive demand in consumer-based markets by offering increased capacitive sensing functionality over traditional, mechanical approaches. During the quarter, we announced that Synaptics has developed a ChiralMotion enabled Touchpad for the new Logitech diNovo Edge keyboard. We are very excited about this evolution of the traditional TouchPad, as its intelligent sensing provides a quick and easy way to navigate, scroll through and select digital content. This solution combines standard curser control and scrolling and allows intuitive switching between the two. Once the scrolling mode is initiated, the user can scroll continuously and is not confined in a specific location or motion on a TouchPad. ChiralMotion also incurs several unique features; such as speed adjust scrolling face on the right of which the finger moves across the TouchPad, and precision scrolling, which relate to scrolling distance on screen directly to the finger motion on a TouchPad and allows user to accurately move both long and short distances. We are not only seeing interest in our ChiralMotion technology within the PC peripherals market, but within other markets such as notebook and portable digital entertainment devices. We also have two more design wins in LCD monitors being offered by Gateway. Similar to the model we described last quarter, this monitors are larger in size and also features our LightTouch capacitive buttons and scroll strip solutions, with two custom interface modules are controlling both the on-screen display and audio system. One of the monitors is currently shipping and the other is expected to be available later this quarter. We also continue to make steady progress in the mobile phone market. Earlier this week, we announced that Pantech & Curitel have added three more mobile phones incorporating Synaptics MobileTouch capacitive sensing technology, which are currently available in Korea. The PTS-280 and PVK-2800 models use our four-button solution on the exterior of the phones for quick accessibility and control popular multimedia on-demand functions. LED illuminates the touch sensitive buttons on the top side of the phone. The third model, the IMU-160 phone features a similar solution that allows you to navigate quickly and easily through media-on-demand digital content and features such as broadcast television. We are also very excited about our ClearPad touch screen technology is being used in the new LG KE850 PRADA mobile phone. This solution replaces most of the traditional mechanical button with a large display, with on-screen controls better respond to a light touch or movement of the user's finger. In addition, the joint partnership of LG and PRADA demonstrates a new level of mobile phone design and a growing trend among cell phone OEMs to use industrial design as the way to differentiate themselves within the marketplace. This phone is expected to be available in Europe next month and parts of Asia in March. Meanwhile, our Onyx concept phone, which leverages the same ClearPad technology, generates strong media buzz at the recent consumer electronics show and some additional interest from potential new customers. Now, I'd like to take a few minutes to discuss our new Synaptics OneTouch offering, which we announced last week. OneTouch is a natural extension of the way we do business with our customers and is complementary to our end-to-end custom module business. OneTouch is a configurable solution that allows our customers to design their own capacitive interface solutions, while taking advantage of Synaptics’ industry-leading performance, features, and application level functionality. OneTouch is beyond the same best-in-class capacitive sensing technology that powers existing custom module solutions and offers the same reliability, quality, and performance that our expect has come to expect from us. By providing them with a complete solution that includes design tools, documentation, a family of capacitive sensing ASICs and technical support, they are going to develop their own custom interface design for capacitive buttons and scrolling applications in products such as mobile handsets, portable media players, and PC peripherals. Through our expanded solutions portfolio, our customers now have a choice in determining the most optimal way to meet the emerging and growing needs whether that's through one of our traditional custom module solutions or through OneTouch, which offers a flexible alternative when design integration and our quick design churns are important. Compared to other solutions in the marketplace, we believe OneTouch is unique. Our family of proprietary mixed-signal ASICs is be specifically for capacitive sensing. In conjunction with our easy-to-use graphical user interface space design tools, our OneTouch solution doesn't require customers to have expert knowledge of the technology or to use complicated software algorithms or code. In addition, our OneTouch product portfolio is optimized for functionality, features, performance, and cost. Initially, we are rolling out OneTouch on a limited basis only with select customers in existing markets. We expect to gradually expand this offering over time and based on the nature of our customers development processes anticipate and then they allow us to penetrate some of our target markets more quickly or to address additional radical markets within the shortest time period. We are increasing our customer’s access to our technology, we believe we'll ultimately increase a variety of capacitive sensing application we serve, while bolstering our ability to grow revenue more efficiently. Even though we fairly limit the launch of OneTouch, I am encouraged by the level of interest from our selected customers, and I am pleased to announce that we expect to see our first revenue from OneTouch within the next six months. To sum up this topic, we view OneTouch as complimentary to our core business and expect our traditional end-to-end system level solutions remain essential to a wide range of products and applications a long to come. Our custom model solutions and the OneTouch solutions are fundamentally optimal for different applications, custom-design and feature sets, and together, give Synaptics the most compelling portfolio of capacitive interface solutions available in the market. I look forward to updating you on the progress of our OneTouch initiative over the coming quarters. Now, let me take turn to a discussion of the general business environment. Our backlog entering the March quarter was $35.5 million, a solid foundation going to the seasonally weaker March quarter. Based on current indicators, we expect sequential declines in demand across all of our target markets as typical for both PC and consumer electronics this time of year. We are on track to deliver record revenues in fiscal '07, as we continue to experience strong demand and increasing design activity from our target markets. And while our new OneTouch offering is not expected to be a major driver of our growth for this fiscal year, we believe it further strengthens our position in increasingly competitive environment. It should also enable us to more efficiently scale our businesses over the long-term as we intend to address more and more new vertical markets. I would now turn the call over to Russ who will review our detailed financial results for the second quarter and provide guidance on our near term outlook.
Russ Knittel: Thank you, Francis. In addition to our GAAP results, I'll also provide supplementary results on a non-GAAP basis, which excludes non-cash share based compensation cost accounted for in accordance with FAS 123(R) and the impact of onetime restructuring charge during the quarter. And as Francis mentioned earlier, the second fiscal quarter was a 14-week period as fiscal 2007 will be a 53-week year. Revenue for our second fiscal quarter of 2007 was $76.1 million, reflecting a 39% sequential increase and a 57% increase over the comparable period last year with strong growth from both our PC and non-PC applications. Sequentially, our PC based revenue was responsible for 52% of our revenue growth, as we experienced stronger than normal seasonality and the continued adoption of our multimedia controls in notebook computers, where the attach rate was about 14% during the quarter. Remainder of revenue was primarily driven by strong demand from the portable music player market aided by increased revenue from mobile phone applications. GAAP gross margin, which includes non-cash share-based compensation charges, was 39.9% in the December quarter, compared with 40.9% in the September quarter. As anticipated, based on our expected product mix, our non-GAAP gross margin was down sequentially at 40.2% compared with 41.1% in the September quarter. Our gross margin continues to reflect strong growth in low-end notebooks and the generally higher third-party content in our multimedia-oriented applications in addition to the increased competition for those applications as we have previously discussed. Total operating expenses for our 14-week second fiscal quarter were $19.8 million compared with $17 million in the preceding quarter, including non-cash share-based compensation charges of $3.7 million and $3 million respectively. Also included in our December quarter operating expenses is a one-time restructuring charge of $915,000 related to the closure of our UK office. This action is part of our overall strategy to realign our engineering resources to better meet our customer requirements as we continue to build our design capabilities in Asia. Excluding the impact of non-cash share-based compensation and restructuring charges in the December quarter, non-GAAP operating expenses were approximately $15.2 million. Total employee headcount at the end of December was 264 compared to 267 at the end of the September quarter reflecting the net impact of our realignment activities. We expect our headcount to continue to grow as we go forward to meet the internal and external initiatives and to support our increased operating levels. Net interest income was $2.5 million compared with $2.1 million in the prior quarter primarily reflecting the impact of higher average invested cash balances and the additional week during the December quarter. Our GAAP and non-GAAP tax rates for the quarter were essentially the same at 28.6% and 28.5% respectively, benefiting from the retroactive extension of the federal research credit signed into law in December 2006, the filing of amended returns based on results of prior-year audits and the reevaluation of certain tax reserves. The GAAP tax rate for the quarter also reflected the recognition of the tax benefit from disqualifying dispositions of qualified stock options. And as we pointed out in our SEC filings, we expect to continue to see volatility in our effective tax rates. Net income for the December quarter, including the one-time restructuring cost was $9.3 million or $0.32 cents per diluted share compared with $4.1 million or $0.15 cents per diluted share in the September quarter. Non-GAAP net income, which excludes $890,000 of restructuring cost net of tax benefit and $3.9 million of non-cash share-based compensation charges and the associated tax benefit of $1.1 million was $13 million or $0.44 cents per diluted share compared with $6.4 million or $0.23 cents per diluted share in the September quarter. Turning to our balance sheet, we ended the December quarter with total cash and short-term investments of $253.6 million compared with $245.7 million at the end of the September quarter. We used $3 million of cash in operations during the quarter, primarily due to the $11 million increase in our receivables and $8 million of tax payments made during the quarter. Stock option exercises contributed $7.9 million during the quarter. Capital expenditures in the quarter were $2.3 million and capital depreciation was $517,000. Capital expenditures this quarter were primarily related to manufacturing test equipment needed to process our significantly increased volumes and the implementation of our ERP project. Receivables at the end of December were $52.8 million compared with $41.8 million at the end of September, primarily reflecting the higher revenue level. DSOs at the end of the quarter were 62 days compared with 69 days at the end of the prior quarter reflecting improved revenue linearity and conjunction with the overall higher shipment levels. Inventories at the end of December were $8.2 million compared with $9 million at the end of September. Inventory turns for the quarter were 22 times compared with 14 times in the September quarter reflecting the combination of higher shipments and the low target die bank and ASIC inventory levels. We have increased our wafer starts and expect to rebuild inventory levels closer to our targeted six-month forward supply. Now I'd like to make few comments regarding our near-term business outlook. Our $35.5 million backlog is a historically strong level entering the typically slower March quarter. Based on our backlog, current visibility and general seasonal trends, we are expecting revenue of approximately $58 million to $61 million for the third fiscal quarter. This represents an increase of 44% to 51% over the comparable period last year. Looking beyond the March quarter, current indicators suggest revenue maybe flat to moderately up in the June quarter. Based on our current backlog and anticipated new orders during the remainder of the quarter, we expect to see a product mix weighted toward low-end notebooks and lower margin multimedia applications. Consequently, we expect Non-GAAP gross margin for the third quarter to be approximately 39%. Turning to OpEx, we expect non-GAAP operating expenses in the quarter to be up slightly, relative to the non-GAAP operating expenses in the December quarter, excluding the restructuring charges. For the March quarter, we expect the impact of FAS 123 (R) on our operating margins to be approximately $3.6 million compared to $3.9 million in the December quarter. And we anticipate our non-GAAP Tax rate to be approximately 34% to 35%. Non-GAAP net income per diluted share for the March quarter is expected to be in the range of $0.21 to $0.24. In closing, our second quarter fiscal results were outstanding, highlighted by record revenue and the continue diversification of our business within a variety of consumer driven applications. The interest in capacitive sense in interface solutions continues to expand, providing us with significant opportunities going forward. While, expand in markets bringing fixed competition, we believe the combination of our custom modules and our new OneTouch interface solutions gives us the most compelling capacitive touch sense in portfolio in the market today. And will enable us to take advantage of these emerging and growing opportunities. That concludes our formal remarks. And will now, turn the call over to the operator to start the question-and-answer session.
Operator: Thank you, sir. [Operator Instructions] Our first question is from Jason Pflaum with Thomas Weisel Partners. Please go ahead.
Jason Pflaum - Thomas Weisel Partners: Yes. Good afternoon, guys.
Francis Lee: Hi. Jason.
Jason Pflaum - Thomas Weisel Partners: Maybe we can talk on the gross margin coming down a little bit here, understand the drivers. But if you look out over the next couple quarters, would you think will remain below your historic target range? The other thing in the mix that you see today, that could drive you back into that range, so we kind of think of a go forward rate below the 48% level?
Francis Lee: Well, the approximate 39% gross margin that we’ve guided to for the current quarter is based on the mix that we see today. And as we’ve discussed, you know, deals gear towards lower end products and we do see in the multimedia applications, you know, the additional competition that we’ve also talked about in the past. So for multimedia applications whether it's a PC peripherals, phones or MP3 players. There is increase competition there and certainly some price pressure. Now, having said that, we also have ongoing cost improvement programs in place and with the recent announcement of our OneTouch offering, you know, we do expect on the margin that that will be favorable going forward. But we're very early with the launch. It's been a fairly limited launch. So I think it's a little too early at this point, Jason, for us to conclude that the target range that we operate to today is not achievable going forward. But again, based on the mix we see today in the marketplace, which is a function of the backlog and the orders we've seen since the end of the prior quarter, suggest to us that for this quarter we will be below that range. For conservatism, assuming that we would be at or around these levels for the next quarter or two, this is probably not out of the realm. But again, there is a lot of moving pieces right now, and while we are seeing pressure, we're also doing some things to counteract that pressure. And it will be the timing of those things and the mix going forward that will ultimately determine where we end up.
Jason Pflaum - Thomas Weisel Partners: Okay. Maybe you can talk a little bit about the LightTouch technology that, I guess, the attach rate that you suggested was 14% this quarter. Given your visibility in the next couple of quarters, where do you see that trending?
Russ Knittel: I think that still has the -- I think that still has room to trend up. You know, will it trend up sequentially in each quarter going forward, potentially. But I think, as we move forward here, you will see more and more adoption of our LightTouch solutions for multimedia applications within the notebook segment.
Jason Pflaum - Thomas Weisel Partners: So north of 20% over the next couple of quarters is the --
Russ Knittel: Yeah. We're not projecting now beyond the current quarter and we're not providing a specific guidance for LightTouch.
Jason Pflaum - Thomas Weisel Partners: Okay. And then, just a last question on the handset opportunity. You had a nice win with the PRADA phone. iPhone has now been announced. Have you seen any pickup in design activity or design discussions on the adaptive user interface solution?
Francis Lee: Well, I mean, Jason, clearly, our Onyx phone concept also have created a lot a buzz in terms of what it could be, okay. And we have discussed in the past the adoption of this kind of interface picks a reasonable cycles, you know, through the ecosystems. The fact that the PRADA phone has been released, and then, there is obviously an indication of what iPhone could look like is stocking up interest. So if nothing -- anything else, it certainly is gathering momentum.
Jason Pflaum - Thomas Weisel Partners: And just as far as trying to size the opportunity, can you give some idea of what the dollar content could be in adaptive user interface type solution?
Russ Knittel: Well, again, as we've talked in the past, Jason, generally the price range for our products are going to be in that $3 to $6 range. You know, earlier introduction of a technology like this could be above that. But generally, I think, going forward, you got to assume that we're in that range.
Jason Pflaum - Thomas Weisel Partners: And we should assume that you are supplying the whole module to the step solution with up-front?
Russ Knittel: Up-fronts certainly, we would be providing the total margin, yes.
Jason Pflaum - Thomas Weisel Partners: Okay. Thanks, guys.
Francis Lee: Jason, just I complementary talked remarks. So when we talk about the OneTouch complementary to our module solution, and basically, what we're saying here is the world's, you know, move towards different kind of user interface. We really see above more complicated, you know, a high interface solution will most likely continue to be modules, while there is more simpler, more configurable type, we lend ourselves model OneTouch. That's another way for you to kind of think about how the world we see as we evokes overtime.
Jason Pflaum - Thomas Weisel Partners: Great. Thanks, guys.
Operator: Our next question comes from Rob Stone with Cowen and Company. Please go ahead.
Rob Stone - Cowen and Company: Hi. I wanted to spend another minute on the adaptive user interface particularly, something like the products phone where it's ClearPad over a much larger display. How does that come together? Do you work to specify particular display module supplier? And then is your ASIC in the overlay, or does your contract manufacturing partner actually integrate the capacitive interface on the display modules supply that to the OEM?
Francis Lee: Okay. So first how did they come above? You know Rob, demand is really the fundamental strength of the Company, in terms of, how we introduce product concepts, you know, to OEMs and ODMs. So one way, again, you know, I've talk about the Onyx phone, just a concept. Okay. And another example of that is how we introduce, you know, LuxPad that turns in a DualMode. In this particular case, with the product LG, you know, is not any different in terms of the overall cycles and the process of how it takes, okay. And because it is our product, I would call it more the revolution display on our product. It takes a lot more interactions and discussions and design. And as you know Rob, one of fanatic strength is able to work with our customers. You'd not be able to define those kinds of specifications. So depending on the specification the product, when the supply chain kicks in, you know, they are number wise to produce in a products like that, okay. Vodafone is specific of what it looks like. It is a module solution that we provide. And it is indeed, you know, they have new answers, in terms of how you produced the solution. Thus different than a TouchPad module on the computers.
Rob Stone - Cowen and Company: Yes. I was thinking in particular the reason why I'm focusing on the display part of it, I guess, is because the display on a handset is the pretty critical feature. And I was thinking, in terms of, a influence on the brightness that, you know, day time readability and stuff like that. It would seem to imply a pretty close collaboration with the LCD module vendor as well as -- am I thinking correctly there.
Francis Lee: Well, I mean they are in the ecosystem. You know, and it is not just on the LCD vendor, and it is also in their assembly process of how you get the sensors on an into a -- in a manner, okay? That is easy to our install with high reliabilities, okay? So you're singling out one aspect of the ecosystem, which is LCD and actually does not stop or start or end at that particular component.
Rob Stone - Cowen and Company: And so what stage of the process do you guys wear the magic cool wand over it?
Russ Knittel: Well, there is nothing magic about that, Rob, lot of hard work, lot of preparations, that is only I can tell you. I mean, I every time, when I move on to like a TouchPad and the plastic there was a learning curve, you know, we just have to labor through it, you know and hopefully through a collective wisdom and collaboration with our partners, we're able to do it consistently.
Rob Stone - Cowen and Company: No. I was really referring to the look of that, you know, these things are fashion needs technology, but good luck with that.
Russ Knittel: Thank you.
Operator: [Operator Instructions] Our next question comes from Ted Chung with Bear Stearns. Please go ahead.
Ted Chung - Bear Stearns: Yes. I have quick question regarding the tax rates. And historically, you were guiding towards non-GAAP tax rate of 40%. Is that the new guidance sustainable or what is leading to that?
Francis Lee: Well, again it's a function of a lot moving parts there too. I mean, as we indicated on the call the tax rate for the current quarter reflects the release of some prior reserves associated with prior year audits we had. That based on the visibility of those audits it impacts and allowed us to file amended returns per subsequent years. And then we did have the extension of the R&D federal tax credit that impacted the current quarter. Our current view for this year, I think is that will be in the 34% to 35% range. I don’t know that, that's sustainable going into fiscal year '08. I think you will see our tax rates check back up. But as we've discussed previously Ted, once we get into the fiscal year '09, I think you will see a dramatic change in our tax rate will be, you know, in the low twenties to high-teens.
Ted Chung - Bear Stearns: Great. Thank you.
Operator: At this time I am showing no additional questions in the queue. Please continue with your presentation.
Francis Lee: Well, thank you for being on the call with us today. We look forward to updating you again next quarter. Bye-bye.
Operator: Ladies and gentlemen, this does concludes the Synaptics Second Quarter 2007 Conference Call. You may now disconnect and thank you for you using AT&T teleconferencing.